Operator: Good day everyone and welcome to the Northern Trust Corporation’s Third Quarter 2014 Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to the Director of Investor Relations Bev Fleming for opening remarks and introductions. Please go ahead.
Bev Fleming: Thank you, Eric, and good morning, everyone, and welcome to Northern Trust Corporation’s second quarter 2014 earnings conference call. Joining me on our call this morning are Biff Bowman, our Chief Financial Officer, Jane Karpinski, our Controller; and Allison Quaintance from our Investor Relations team. For those of you who did not receive our third quarter earnings press release and financial trends report by email this morning they are both available on our website at northertrust.com. In addition, and also on our website, you will find our quarterly earnings review presentation which we will use to guide today’s conference call. This October 22nd call is being webcast live on northerntrust.com, the only authorized rebroadcast of this call is a replay that will be available through November 19. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Now for our Safe Harbor statement, what we say during today’s conference call may include forward looking statements which are Northern Trust’s current estimates and expectation of future events or future results. Actual results of course could differ materially from those expressed or implied by these statements because the realization of those results is subject to many risks and uncertainties that are difficult to predict. I urge you to read our 2013 annual report and other reports filed with the Securities and Exchange Commission for detailed information about factors that could affect actual results. During today’s question and answer session please limit your initial query to one question and one related follow-up. This will allow us to move through the queue and allow as many people as possible the opportunity to ask questions as time permits. Thank you again for joining us today. Let me turn the call over to Biff Bowman.
Biff Bowman: Good morning, everyone, and let me join Bev in welcoming you to Northern Trust earnings conference call. It is my privilege to be here today with you to review Northern Trust third quarter financial performance. I hope to meet many of you in the coming weeks and months. As is our customary practice, today I will review our results for the quarter after which Bev and I would be happy to answer your questions. So starting on Page 2 this morning we reported third quarter net income of $205 million and earnings per share of $0.84. Our return on equity was 10.1% in the quarter. As you evaluate our performance this quarter, recall that our results in the third quarter of last year included a $33 million gain on the sale of an office building and the results in the second quarter of this year included charges and write offs of $42 million. Excluding these items our earnings per share of $0.84 in the third quarter increased 11% year-over-year and decreased 3% sequentially. Environmental factors which impact our businesses and our clients were mixed in the third quarter, a theme which has been ongoing for some time. U.S. equity markets were higher at the end of the third quarter both year-over-year and sequentially with the S&P 500 up 17% and 1% respectively. International equities as measured by the MSCI EAFE Index were up approximately 2% year-over-year but down 6% sequentially with the sequential quarter decline driven largely by a stronger U.S. dollar. In bond markets the Barclays U.S. aggregate index was up 1% year-over-year but down 1% sequentially. Client assets under custody ended the quarter at $5.9 trillion, up 13% over last year, and assets under management ended at $923 billion, up 9%. On a sequential basis client custody assets declined 2% and managed assets were essentially flat. I’ll provide further details on asset trends later in this call. Currency markets had multiple impacts this quarter. Currency volatility as measured by the G7 index was 36% lower than the third quarter of last year having hit an all time low in the month of July before trending up in the months of August and September. Sequentially, the G7 index was essentially flat while the emerging markets index was down 10%. Currency volatility influences our foreign exchange trading income as does the level of client activity. Currency rates, which influence the translation of non-U.S. currencies to the U.S. dollar, impact client assets and our revenues and expenses. The dollar was generally weaker on a year-over-year basis yet stronger compared to the second quarter. Dollar strength in the sequential quarter comparison tempered client asset growth and related fee growth with an offsetting benefit to expense growth. Short term interest rates remained at every low levels and continue to pressure our net interest margin and result in fee waivers on our money market mutual funds. Three month LIBOR averaged 23 basis points down 3 basis points year-over-year while the fed funds effective rate an average overnight repo rate both remained low at 9 and 8 basis points respectively. With those comments providing the context of the environment let’s move to Page 3 and discuss the financial highlights of the third quarter. Compared to last quarter revenues were flat as higher trust investment and other servicing fees and net interest income were offset by lower foreign exchange, trading securities commission and trading, and other operating income. Expenses, excluding the prior quarter’s charges and write offs, increased 1% due primarily to higher employee benefit and other operating expenses offset partially lower outside services and equipment and software expenses. We had no loan loss provision in the quarter as credit quality continue to improve. Reported net income increased 12% sequentially. adjusted for last quarter’s charges and write offs net income decrease 3%. Year-over-year revenues adjusted for last year’s gain on the sale of a building were up 6% and expenses were up 5%. Revenue growth was the result of higher trust investment and other servicing fees and net interest income. Expense growth primarily reflects higher competition and benefits and equipment and software expenses. Reported net income was 1% lower year-over-year. Excluding last year’s gain on the sale of a building that income was 10% higher year-over-year. Earnings per share was $0.84 and our return on equity was 10.1%. Let’s look at the results in greater detail starting with revenue on Page 4 of your deck. Third quarter revenues on a fully taxable equivalent basis were approximately $1.1 billion, up 3% year-over-year and flat sequentially. As I mentioned earlier, revenue growth excluding last year’s gain was 6%. Trust investment and other servicing fees the largest component of revenues were $718 million in the up 11%yoy and 2% sequentially. Fees in our corporate and institutional services business increased 11% year-over-year corporate and institutional services business increased 11% year-over-year and 1% sequentially while fees in our wealth management business grew 10% year-over-year and 2% sequentially. Higher equity markets in new business were both drivers of growth with higher money market mutual fund waivers partially offsetting. In addition, currency translation helped fee growth by about 0.5% on a year-over-year basis but detracted from fee growth by 0.5% on a sequential basis. Fee waivers were approximately $34 million in the third quarter, an increase of $1 million over last year and $3 million sequentially. The higher waivers were primarily due to the gross yield on t fund declining by approximately 1 basis point on average both year-over-year and sequentially. I’ll go into further detail on trust and investment fee shortly. Foreign exchange trading income was 46 million in the third quarter down 26% year-over-year and 12% sequentially. Currency volatility was lower in the third quarter hitting a an all time low in July before trending up in August and September. Client trading volumes was lower year-over-year yet modestly higher sequentially. Other non-interest income was $65 million in the third quarter down 3% from last year when adjusted for the sale of the building and down 14% sequentially in both comparisons the decline was due in part to lower securities commissions and trading income. The sequential decline was also due to lower income from currency which I’ve also discussed some more detail later activity and lower leasing and loan servicing income. Net interest income which I’d also discuss in more detail later was $256 million in the third quarter up 5% year-over-year and 1% sequentially. With that back drop let’s look at the component of our fee revenue on Page 05. For our corporate and institutional services business fees totalled 400 million in the third quarter up 11% year-over-year and 1% sequentially. Custody and fund administration fees, the largest component of C&IS fees, were $275 million in the third quarter, up 15% year-over-year and up 5% sequentially. Assets under custody for C&IS clients were $5.4 trillion at quarter end, up 13% year-over-year and down 2% sequentially. Growth in fees and assets primarily reflects new business and market conditions including higher equity and bond markets particularly in the year-over-year comparison. In the sequential quarter comparison, C&IS fees and assets under custody were dampened by the impact of a stronger U.S. dollar primarily due to the dollar strength in the quarter relative to the euro and Sterling. Investment management fees in C&IS was $75 million in the third quarter were up 6% year-over-year and down 3% sequentially. Assets under management for C&IS clients were $703 billion, up 11% year-over-year and up slightly sequential. The year-over-year increase in C&IS assets under management was due to higher equity and fixed income markets in new business as well as higher securities lending collateral. In the sequential quarter comparison, higher fixed income cash and securities lending collateral were partially offset by lower equities as the stronger dollar hampered international returns. For example, MSCI EAFE Index was down 6% in the third quarter driven primarily by currencies. C&IS investment management fee growth was reduced by higher waivers on institutional money market mutual funds. Waivers impacting C&IS fees equalled $17 million in the third quarter, $1 million higher year-over-year and $2 million higher sequentially primarily reflecting the lower gross yields achieved in the underlying funds that I previously mentioned. Security lending fees were $22 million in the third quarter, down 3% year-over-year and 26% sequentially. The year-over-year decrease primarily reflects lower spreads while the sequential quarter decline reflects the traditional impact of the international dividend season which resulted in wider spreads in the second quarter. Securities lending collateral was $121 billion at quarter end, up 16% year-over-year and up 4% sequentially. Other fees in C&IS were $28 million in the third quarter, up 4% year-over-year and 3% sequentially. The year-over-year increase primarily reflects new business and investment risk in analytical services while the sequential quarter increase primarily reflects higher revenue for benefit payment services. Moving on to our Wealth Management business, trust investment and other servicing fees were $318 million in the third quarter, up 10% year-over-year and 2% sequentially reflecting higher equity markets in new business. Assets under management for wealth management clients were $220 billion at quarter end, up 4% year-over-year and down 1% sequentially. Recall that earlier in 2014 we transferred $7.6 billion in assets under management from wealth management to C&IS. Absent that transfer wealth management assets under management would have increased about 8% year-over-year. The sequential decline in wealth management assets under management was due primarily to lower non-U.S. equity markets. As I mentioned earlier the MSCI EAFE Index was down 6% in the quarter. Money market mutual fund fee waivers in wealth management totalled $17 million in the current, flat compared with last year and up $1 million compared to last quarter. Moving to Page 6, net interest income was $256 million in the third quarter, up 5% year-over-year and 1% compared to the second quarter. The increase in net interest income was driven by a larger balance sheet as client deposits averaged $86 billion in the quarter, up 14% year-over-year and 1% sequentially. These increased deposits were primarily invested on the asset side in Federal Reserve deposits and securities. Partially offsetting the impact of a larger balance sheet was a lower net interest margin which at 1.05% in the third quarter was down 9 basis points year-over-year. In the sequential comparison, higher average earning assets were partially offset by a 1 basis point decline in the net interest margin. The yield on the securities portfolio increased 2 basis points sequentially primarily reflecting lower premium amortization in our mortgage back securities portfolio due to changes in prepayment speed assumptions versus the prior quarter, as well as the maturity of lower yielding floating rate agency securities. Adjustments to premium amortization in the third quarter increased yield on the securities portfolio by approximately 5 basis points and the net interest margin by approximately 2 basis points compared to 7 basis point and 3 basis point increases respectively in the second quarter. Loan balances averaged $30 billion in the third quarter, up 6% or $1.6 billion year-over-year with growth primarily in commercial and institutional and private client lending partially offset by a lower level of residential real estate loans. The yield on the loan portfolio decreased 6 basis points sequentially primarily due to lower yields of commercial loans. Turning to Page 7 expenses were $775 million in the third quarter, up 5% year-over-year and down 4% sequentially. When adjusted for last quarter’s charges and write offs of $42 million expenses were up 1% sequentially. Compensation expense increased 7% year-over-year primarily reflecting staff growth, annual merit increases and the unfavourable impact of movements in currency rates. Staff levels increased approximately 5% year-over-year with about half of staff growth in the Asia Pacific region including our offices in India and our newest operational center in Manila. On a sequential basis, excluding the charges compensation expense was essentially and staff growth was less than 1%. Employee benefit expense was 11% higher year-over-year as higher employee medical expense and payroll tax expense more than offset lower pension expense. On a sequential quarter basis, excluding the second quarter charges, employee benefit expense increased primarily due to higher medical expense offset partially by lower payroll tax expense. Outside services expenses were down 2% year-over-year and 1% sequentially. When adjusted for the prior quarter’s charges the year-over-year decline primarily reflects consulting and technical services expense. Equipment and software expense was up 5% year-over-year and down 13% sequentially. Excluding last quarter’s software write off the sequential decline was 6%. Software amortization and computer depreciation were slower in the third quarter. Spending and support of our technology strategy continues as we invest to support clients, improve employee efficiency and meet regulatory and compliance requirements. Other operating expense increased 2% year-over-year and 12% sequentially. Both comparisons reflect higher charges associated with account servicing activities which can be uneven from quarter-to-quarter. Turning to Page 8, a key focus has been on sustainably enhancing profitability and returns. This slide reflects the progress we have made in recent years to improve our expenses to fees, pre-tax margin and ultimately our return on equity. The ratio of expenses to trust and investment fees is a particularly important measure of our progress as it addresses what we can most directly control. Reducing this measure from 131% in 2011 to 108% in the third quarter has been a key contributor to the improvement in our return on equity from 8.6% to 10.1% across the same time period. As announced in July, we have reorganized to allow our client facing groups to focus on profitable growth and our operations and technology functions to efficiently enable this growth. We also announced in July the elimination overtime of approximately 200 positions. The success of these actions along with sustainable improvements to our operating model which continue to accrue from driving performance are critical to our future financial performance. Our focus on profitable growth and productivity gains will allow the company to invest in future growth opportunities that will produce targeted return over time. Turning to Page 9, our capital ratios remain very strong with common equity tier 1 ratios of 12.7% and 12.8% respectively calculated on a transition basis for both advanced and standardized. On a fully phased-in basis, our common equity tier 1 capital ratio under the advanced approach would be approximately 12.3% and under the standardised approximately 10.9%. Both of these ratios are well above the fully phased-in requirements of 7% which includes the capital conservation buffer. The supplementary leverage ratio at both the corporation and bank is above 5% which exceeds the 3% requirement applicable to Northern Trust. As Northern Trust progresses through fully phased in Basel III implementation there could be additional enhancements to our models and further guidance from the regulators on the implementation of the final rule which could change the calculation of our regulatory ratios under the final Basel III rules. In the third quarter, Northern Trust issued $400 million in perpetual preferred stock at a dividend rate of 5.85%. At its regularly scheduled meeting yesterday, our board of directors declared the quarterly dividend on the preferred stock. Given the early August issuance the initial preferred dividend payment will cover five months and, therefore, equal $9.5 million in the fourth quarter. In the third quarter, we repurchased 1.1 million shares of common stock at a cost of $77 million bringing to 315 million our total share repurchase activity in the first nine months of the year. Our 2014 capital plan provides for the repurchase of up to an additional 273 million of common stock through March of 2015. With the final liquidity coverage rules having been issued in early September we believe Northern Trust is already above the 80% minimum required effective as of January 1, 2015 and is also above the 100% minimum requirement that will become effective of January 1, 2017. Let me close with a few thoughts on the positioning of Northern Trust. From a strategic perspective, the third quarter again demonstrated that we are competing successfully in our target markets. Noteworthy on that front was the on-boarding of Bridgewater Associates to our hedge fund servicing platform as well as recently announced deployments by Woodford Investment Management to provide a full suite of investment operations and outsourcing services and by five local government schemes in the United Kingdom to provide a range of global custody services. Our four inaugural FlexShares Exchange Traded Funds reached the important three-year milestone in the third quarter. FlexShares account to $8.5 billion making it the fastest growing ETF family for each of the past two years delivering thoughtfully designed products that meet the targeted investment objectives of personal clients. In August, Northern Trust celebrated its 125th anniversary, a testament that we continue to provide exceptional service expertise and advice to clients around the world. From a financial perspective we achieved strong growth of 11% in trusted investment fees and improved further the ratio of expenses to fees. Our return on equity was 10.1% in the quarter and we remain focused on consistently achieving returns in our target range. Thank you again for participating in Northern Trust third quarter earnings conference call today. Bev and I would be happy to answer your questions. Eric, please open the line.
Operator: Thank you. (Operator Instructions). And we'll take our first question from Alex Blostein of Goldman Sachs.
Alex Blostein – Goldman Sachs: Good afternoon everyone. Hi. How are you? So first question I guess on the operating leverage. If we go back to Slide 8 that you guys illustrated considerable progress in terms of how you're management expenses relative to the trust and investment services fees. Just curious to think about, if you guys were to think about markets flat over the last 12 months, where would that 108 be? And I guess, more importantly, if the broader equity markets backdrop as a bit more choppy from here, should we still count on that ratio coming down over the next 12 months?
Biff Bowman: So I'm going to talk a little bit about. If you look at our assets under custody growth year-over-year, Alex, and -- I'm trying to guide here to the -- to this point is, about 60% of our growth in AUC year-over-year was driven by markets but 40% was driven by new business and other flows in that front. So we recognize the markets have a meaningful impact on that but that there is a meaningful piece of that that is moving up and the fees are moving up because of excellent new business growth in our businesses. The other thing I would say is, while the market has impacts on certain of our services, certain of our fund administration services, our global fund services business are driven by transaction volumes as much as they are driven in the fees associated with those, as much as they are driven by assets under custody or market level appreciation. So I think the combination is the market certainly has an impact and is important to us. But hopefully, that gives you some clue as to the new business was a meaningful portion of that improvement as well.
Alex Blostein – Goldman Sachs: Got you. Yes. Sorry. I guess I was just trying to get you looking at the bit more importantly the operating leverage of that. And clearly, the expense growth should -- was below the growth in your servicing fees and management fees but that's partially because the servicing fees and management fees share point were growing due to market gains.
Biff Bowman: Yes.
Alex Blostein – Goldman Sachs: But I guess, are there leverage you could pull to continue to see the decline in the non-interest expense relative to your fees, if the markets don't go up from here?
Biff Bowman: Yes. So we remained vigilant around our expense management. And there are obviously, levels. I would say I'd refer you to the second quarter where I think you saw one of the levers that we were able and did a decision, we did take around our staff levels and the 200 person charge, if you will. The charge we took in the second quarter is an example of one of those levels. But there are many other levels and the management team here remains committed to driving through expense initiatives on that front. I would also, if I could real quickly add around our efficiency and productivity initiatives. We’ve taken on board a lot of key projects, one of which would be -- I'll give one small example, if I could. We had multiple vendors providing us with pricing services, literally dozens. We consolidated those down into a few number pricing vendors and that drove a meaningful savings for the institution. We have lots of those types of initiatives ongoing.
Alex Blostein – Goldman Sachs: Got it. Understand. Thank you for that. And my second question was just around the overall kind of franchise exposure to the euro. You guys clearly have some presence there and I'm just trying to better understand if the euro continues to weaken against the dollar. What does it mean from the net profitability perspective for Northern, is it a headwind or tailwind or fairly neutral given how revenues expenses should go?
Biff Bowman: So good question. If the dollar -- I want to put it in a couple of buckets, if I can here. Firstly, we got -- if I will say, balance sheet exposure. So money on our balance sheet that's in euros or client's money that's on our balance sheet in euros. We did like many of others in the financial industry on August 14, Bev, I believe.
Bev Fleming: October.
Biff Bowman: October. Excuse me, on October 14, we put in place a negative 20 basis point charge for the balance sheet, if you will, which was in-line with what the ECB had done earlier in September. So we pass on, if you will, some of the financial impacts from the balance sheet perspective. The other part though to consider is, we have a substantial amount of our assets under custodies you might imagine that are in euros. A strengthening dollar doesn't help us on that regard as you would suspect. It's not the largest currency. Our largest currencies inside of our AUC would be the dollar first obviously and the second would be the sterling, but the euro is the third largest in our AUC and we have a substantial amount of assets, non-dollar denominated assets in our mix. So it will have some impact their on the AUC.
Alex Blostein – Goldman Sachs: Got it. But from a pre-tax dollar perspective, is it -- do the expenses kind of offset that or it's in that kind of headwind it goes to, to pre-tax income?
Biff Bowman: Sure.
Bev Fleming: And Alex, on the -- from the income statement perspective, we actually hedge the net. So we do have revenue impacts, we do have expense impacts from the dollar and we hedge the net. We have significant natural hedge, if you will, because we earn revenues in multiple currencies. We also pay expenses in multiple currencies, so we have somewhat of a natural hedge. But then, we hedge the difference to pre-tax. So the impact from a bottom-line perspective is actually very modest.
Alex Blostein – Goldman Sachs: Yeah. Got it. Yeah. That's what I was trying to get it. Thank you so much again.
Operator: Our next question is from Brian Bedell with Deutsche Bank.
Brian Bedell - Deutsche Bank: Hi. If I can start with a question on the asset servicing business and I'm just trying to think of obviously, the Bridgewater was one of your largest mandates and E&A is somewhat of new type of arrangement for you. Bev, can you talk a little bit about how you view margins on those types of mandates versus your existing -- your current book of business in asset servicing and then the growth opportunities of that? In other words, as you are building that business, do you start out with lower margins with the hope of adding more clients to that particular platform?
Biff Bowman: Yes. So I'll tackle that in a couple ways here. So I think the first is in the case of Bridgewater, they take a variety of different services that we provide, which include as we described it sort of the shadow fund accounting process that we would do, and I would say a variety of other middle office type products and services. Each of those has a different type of basis point fee or margin associated with it that the market dictates. So the combination of that for any one client like that would be a blend of whatever those are. So in the case of -- in the case of Bridgewater, I would only say that they are profitable. And we continue to be pleased to have them on board and think we can leverage that platform for other clients. I think the second part of your question is that the implementation and the expenses associated with that implementation we feel are highly leverageable to other clients in this space. And in fact, we've begun dialogues with many on a similar path around that. So we definitely believe that they are the investment, the capital investment is highly leverageable to other clients.
Brian Bedell - Deutsche Bank: Okay. That's helpful. And maybe just to share on a sort of a go forward basis. We appreciate that obviously there is a long time range to this. But has the Bridgewater mandate -- and maybe in combination with Omnium acquisition dramatically changed your ability to tap that -- the alternative ends of the market to the extent that you think over the next two to three years you will be investing fairly heavily in growing that business versus the rest of your servicing business. And maybe just quickly, also relative to your -- touch on the investment in the wealth management business as it relates to for persons (inaudible)?
Biff Bowman: I’m going to answer the first two. I may need a little help on the second part of your question around the well. But the -- I think the first part was, do we think this will enable us to win other business? And I would say the credibility that having the largest hedge fund as a client has absolutely helped us. But I would add to that that the strength of the Omnium platform now Northern Trust Hedge Fund Services, the actual technology what we have there has also added credibility for us to be able to talk across the market. So I would also highlight one thing. I think people think of it only in the alternative space where it would largely be used and we think only traditionally of asset managers. But there are a lot of client's interest in this that are sovereign wealth funds, large foundations and endowments who have large pools of alternative investments within their portfolios and the technology around this has been a very attractive entrée into some of those businesses. So I think it has as boarder opportunity set than just asset managers. So that was the answer for the first part. And then, you -- the second part around wealth management, I didn't quite pickup.
Brian Bedell - Deutsche Bank: Yeah. That -- sorry, but I didn't ask (inaudible) really. What I was getting at with the wealth management side was, as you think about investing in the asset servicing business, how do you think -- I guess the question is, does that sort of distract you from investing more aggressively on the wealth management side or do you feel that your investment over the next two to three years in both of this businesses can remain fairly consistent with each other?
Biff Bowman: Sure. We absolutely believe that we have the ability to invest in both businesses and we've talked about the mega market strategies in the past and other strategies here. So we absolutely think we can invest in both. Right now, we have to be disciplined about that, but we absolutely believe we can. And I would also highlight that some of these capabilities that we talked about in GFS translate into the very high-end of our wealth business setting with the global family office. So the ability to deal with complex alternative investments as you might suspect for families of -- at the highest end of our network spectrum that capability is very attractive there. So I see a lot of synergy and leverage, if I can in that investment across multiple businesses.
Operator: We'll take the next question from Ken Usdin of Jefferies.
Ken Usdin - Jefferies: Thanks. Hi Biff, how are you? Just a follow-up on expenses, the 200 FTE savings, you had talked about this little last quarter. But can you help us understand how much of that benefit? I think it was $25 million, was in this quarter's run rate and how you expected to lead in over time?
Biff Bowman: Yes.
Ken Usdin - Jefferies: Or when did you expected to get to a run rate?
Biff Bowman: Yes. I would say this. We are on track to achieve the $25 million goal amount in the second quarter. I think Mike said last quarter that the savings would be modest in 2014, which really is the majority in the fourth quarter. And then, we'll see a ramp in 2015. I think we expect to achieve about 80% to 90% of that $25 million by year end 2015. I can tell you that we've begun that process in Q3 of moving through the 200, so -- but it will be a very, very modest impact in 2014. But you should expect to see about 80% to 90% of that $25 million by year-end 2015. And we'll achieve the full run rate entering 2016.
Ken Usdin - Jefferies: Okay. And then, if I could ask you to extend a little bit more just on the -- into workings of the FX business. And obviously, I heard your points about volatility being flat. But can you just help us understand may be how the quarter progressed? I think you did say higher volumes but obviously, volatility was only average, flat on average and third quarter is typically a little seasonally soft. But I think relative to expectations and relative to the industry proxy it would have seen like the business should have done a little bit better. So was it mix, was it electronics? May be just you can flush that out for us, it would be great. Thank you. 
Biff Bowman: Okay. Thank you. So I will say this, the -- as a sequential quarter we were down, while I would say volatility was probably flatter. The first thing we think about in that is this, we look at our actual the notional amount traded to our clients and I don't know what others clients looks like, but we can look at our clients and look at the notional amount traded through our clients. And that was down modestly for us, so that's one factor and we do think about that. It depends on if our clients were trading in emerging market currencies, which were down and the volatility was lower there than it wasn't some other. So there is a couple factors that can help drive that number a little bit lower than what we would have seen given the volatility in that space. So I think that's one area you touched on I would say this. We continue to invest in this business with our client guidance around the types of ecommerce and needs that they have to enter this market and it’s a meaningful commitment in both talent and capital to continue to improve and to continue to grow this source of revenue very important source of revenue for the bank. So I think it’s a combination of those things, others may have if you look back, we looked back 22 quarters just as a fact and if you look versus peers our peers we take turns having better FX performance in any given quarter. So I think it has to do somewhat with our client mix and their action they took in any given quarter. And the third thing I would add is you are right there is some seasonality traditionally for us we see about a 12% to 15% decline sequentially which was what we saw this quarter.
Operator: The next question is from Ashley Serrao of Credit Suisse.
Ashley Serrao - Credit Suisse: Hi I had a two part question on capital. So how are you thinking about a capital structure today? Do you intend to issue more preferred and build up to that 1.5% of RWA? And the second part is how are you thinking about capital buffers to require minimum specifically I was interested on some color around if Tarullo succeeds in forcing your larger peers to hold higher capital cushions, are you looking to match them or really use that as a advantage and run at lower levels?
Biff Bowman: Let me take the second part of that question first if I can so I don’t, Bev write down the first part so I don’t forget it, thank you. But on the capital buffers issues we currently today with guidance from our board and all of our governance committees place a premium on making sure we’re well buffered if I can say that with our capital position and you can see that through our capital ratios as we describe. If, in our business if you think about that we’re a gatherer of assets, we need to look somewhat similar to our closest peers particularly in the corporate intuitional side but also in the wealth side in terms of safety and soundness and stability. And so that probably means that our ratios need mere or be as close to theirs that is reasonably prudent for us as a financial institution. So you’re right we may not be governed at the same level as a GSIP but we do believe that we may very well have to act and have buffers and others in place similar to that so that we have a competitive at least a quality when we go to the market. That is though, Ashley, if I can say this that is still playing out a little bit as we look at this. A good example might be around supplementary leverage ratio for instance that you cite and then whether that's not a buffer but there is a different standard for banks of different sizes. So we continue to play with that that’s probably a long way around for we continue to look at this but we think we've probably largely have to stay in line with our peers. And the first part of the question was around our capital structure I believe and if we would contemplate more on the preferred side. So the answer is right. Today, your question is right in the sense of we did the $400 million in August it gave us an opportunity to add to our tier one capital where we had faced in approach we would have gone to zero the trust preferred phase out and so we effectively had none. So we were effectively covering what I will call the first two levels of our capital ratios with all common, that's a fairly expensive solution. I think we will continue to look at that mix on a regular basis to understand if there isn’t more opportunity in the trust preferred to help as you say get to that 1.5% additional cushion over the common equity tier one ratio. I think we got a pretty good thought process around that now from our capital planning and we’ll continue to look at that.
Operator: The next question is from Betsy Graseck of Morgan Stanley.
Betsy Graseck - Morgan Stanley: Hi how are you there? So a couple of questions one, just on the last subject I mean is there a I would think there should be an opportunity to reduce common as a percentage of total RWA through this process with buybacks over time is that a fair assumption?
Biff Bowman: Yes I think the – we’re going to perceive it with our capital plan if I can, our capital plan actions that you’ve seen and I would like this it’s our intend to continue to take the actions that we described in our capital plan and you are well aware of it over time. In terms of the reducing common or the shares I think you’re asking if the share is outstanding issues is what, is that you’re trying to talk about in the capital fact --
Betsy Graseck - Morgan Stanley: Yes, right. With common as a percentage of RWA, the contribution of common to RWA shrink over time as you are accelerating buybacks given the pref, I think because we all kind of came to this with you have enough cushion over the minimum, why do you need pref, so the pref makes sense if you are able to reduce the common.
Biff Bowman: Yes, so again I refer back to the capital plan and we think that, yes, we think executing on or our intent to execute on the capital plan should help us with that. Betsy Graseck - Morgan Stanley Okay, got it. Just wanted to clarify. And then secondly, just on the fact that you need to charge clients for the 20 basis points in the euro zone given what the ECB is charging you to leave cash with the ECB, just trying to understand what kind of behavior activity you’ve seeing there? I would think it would mean that you have clients moving if they could from euros into other currencies. I’m wondering what else they could potentially do to offset that? Could they bring you more business to offset incremental fees or it’s more of a one size fits all everybody gets a 20 bps if you’re leaving euros with you?
Biff Bowman: Yes, so good question so, I would say we are working with our clients to look at what their alternatives are in that space because as you might imagine some care about that rate. So there are money funds, there are suite vehicles, there are other services and capabilities where that we could help guide them some of those are our products, some of those are products elsewhere in the market but we are working with them. To-date, we have seen a I think – I’d say relatively modest decline but in the 15% to 20% range in just our euro based deposit. It’s not a large part of our deposit base, its sub 10% of our deposits are in euro, our total on our foreign office but our total deposit so it’s not a big but we've seen a modest run off in most, we think is really there to support business activities. And so it’s there and its sticky.
Operator: The next question is from Brennan Hawken of UBS.
Brennan Hawken - UBS: Hey how are you doing, Biff? Quick one on expenses. And it’s somewhat of a follow-up to what we've heard before. So is there any way you could give some color or clarity on whether or not we saw some uplift this quarter from expenses that might prove transient, specifically elevated regulatory, expenses and maybe the amortization from on-boarding expenses on Bridgewater that might have been capitalized?
Biff Bowman: So let me walk up through what potentially is transient I will just say nothing else moves around. So I got to start with we have what we refer to as cost of servicing clients. That number is, it moves around; it was very modest in the first and second quarters of this year. It was back to what I would say a more normalized level over a long period of time but that is a number that can move quite meaningfully in any given quarter. I would say our healthcare expense in this quarter as it relates to healthcare claims we looked back at about three years worth quarterly claims history was at a high. We don’t have an ability to project if that will continue or if that was just we had a tough quarter from a healthcare claim perspective that was a fairly a meaty number. As it relates to the regulatory part of your question, I would say this. The rate of growth of our regulatory expenses has slowed. But I wouldn’t say that the overall regulatory expenses have grown -- slowed excuse me or gone down from the levels you’ve seen. So the pace of growth has slowed but there is still some growth in that and there are round things like we’re in our second round of the CCAR for Northern Trust and there is work we have to do around that there is resolution planning etcetera that we have to deal with on that. So there are some expenses in there that I would consider volatile from a quarter-to-quarter basis.
Brennan Hawken - UBS: Great. I guess no impact from increased amortization on on-boarding expenses as far as Bridgewater goes?
Biff Bowman: There was some in the quarter. I would say the others have a chance to be at least that volatile is not more in terms of that. That number probably won’t be as volatile as well over time because we know what the amortization is so and it’s the other side of it you can move in bigger increments generally than that number would.
Brennan Hawken - UBS: Yes, I guess I was just saying it wouldn’t volatile versus last quarter when it was...
Biff Bowman: Yes, it would have been volatile versus that, I would have been more than the quarter before.
Brennan Hawken - UBS: All right, fair enough. Cool. And then for my second one, given some of the pressure that large global competitors are under from a capital perspective, is it your sense that the certain global custody assets come up for sale? And if they do, is that something that Northern Trust would be interested in expanding on towards that side of the business, on the institutional and trust side as opposed to the wealth management side is there, do you guys have a preference as far as that goes?
Biff Bowman: So I would say this around any acquisition. I would describe this is opportunistic and if that opportunity provides us with a geography or a product or a capability or a technology that we don’t have we’re opportunistic in that. We have not traditionally just bought businesses to ramp up scale in a market where we already have scale. I won’t put an absolute on that but that has generally not in the philosophy firm, it has been to address one of those first sort of four factors that I talked about.
Operator: The next question is from Marty Mosby of Vining Sparks.
Marty Mosby - Vining Sparks: Hey, thanks for taking the question. I wanted to look at the other fees. You had talked about lower security commissions as well as currency related hedging. The number dropped to kind of the low level it has been at over the last year. I was curious what kind of noise or what would be expected in there?
Biff Bowman: Yes, so I’ll address one on the securities commission and then I may let Bev take the foreign exchange currency part. One example would be what we would recall banking referral fees but our bankers well often because we’re not an investment bank we’ll partner with some other investment banks and we refer we’re in a credit we refer deals to them to do some of the underwriting. We get referral fees for that. They were significantly down quarter-over-quarter. And the second is in our wealth business a lot of the times we will actually look at interest rate swaps and talk to our clients about interest rate swap options that they may have in their portfolios. The volumes in that were down substantially from Q2 to Q3. So those two items I’d say have some volatility to them in any given quarter, it depends on how many, how much the deal flows in those two quarters that drove those two, and Bev I’ll...
Bev Fleming: Sure. Marty I think your other question has to do with the decline with the decline and other operating income, is that correct? Marty Mosby - Vining Sparks That’s right, with the currency-related hedging, they talk about the hedging and they are in the press release.
Bev Fleming: Yes, there were actually three different drivers to that particular figure. I mean first of all we did have leasing income lower in the quarter we did have a small lease gain recorded in the second quarter, and so when you do that quarter-on-quarter comparison it has an impact. We did see lower service charges related to some aspects of our banking business credit related service charges like commercial loan fees, letter of credit fees, commitment fees and like so that was down as well. And then the third one would be what you’re pointing out which was one of the drivers listed which would be currency related hedging activity. As I mentioned earlier we do net hedges on our income statement and there was a modest impact from the asset was a drag on this particular line item. We also hedged the balance sheet back to functional currencies and that had a modest drag as well. So we really had kind of three or four different items that together contributed to that sequential quarter decline.
Marty Mosby - Vining Sparks: And then my follow-up question in relation to that is, not to be specific but just in general, it seems like the core underlying trust custody asset management fees and expenses all moved in the right direction. There did seem to be several unusual expenses, other kind of areas and ancillary fees that were weaker than really kind of maybe took away a penny or two this quarter relative to what you might've expected.
Biff Bowman: Yes, our view I think our view would be aligned with that the core underlying business performed well and the core trust fees and the core expense management was strong and that some of the ancillary or other forms of income had some volatility in the quarter and we feel pretty good about the core underlying performance of the business. We feel very good about that.
Operator: And the next question is from Mike Mayo with CLSA.
Mike Mayo - CLSA: Hi, first just a clarification on the preferred stock. So I guess what we are trying to figure out, should we be lowering our numbers for the $0.10 hit to the new preferred stock, or should we assume that gets offset with buybacks?
Bev Fleming: Well you definitely should be incorporating again to your fourth quarter model the preferred stock dividend which was declared by our board yesterday and I would repeat what Biff said in his prepared remarks that this quarter will be -- fourth quarter will be a little bit unusual and that we would have five months instead of the normal three. The figure that's provided was $9.5 million in the fourth quarter. With respect to repurchases of common we’re continuing to proceed under the capital plan that was not objected to by the fed so you’ve seen what’s remaining and we will continue to action on that for the next two quarters.
Mike Mayo - CLSA: All right, great. Separately, Biff since this is your first public forum and you are new as CFO, can you talk about conceptually how you might want to change the balance, if at all between the customers, the employees and the shareholders? In other words, when you think about allocating expenses and resources among those three groups, do you think one needs to be favored a little bit more than it’s been in the past? And I guess the customers, you guys win all sorts of awards especially for the private bank, employees this quarter you said the comp is up 8% year-over-year and then shareholders a great 10-year record but lousy five year record. So, how do you think about the balance among those kind of three constituencies?
Biff Bowman: Thanks, Mike. Well I think they’re all very important how is that is that a good hedge as the new CFO. I think they’re all vital but I will say this I would that the firm not this isn’t just me this is the firm it’s focused on a key word here is profitable growth. So we do know that we need to be profitable and grow, and not just grow. And so the focus on profitable growth the focus and rigour around the return on equity range that we've given to you and to the shareholders of 10 to 15. We want to continue to move into that range on a regular basis. I believe this is our second quarter in a row and that so there is no decoration of victory and we need to continue to move. Higher in to that range with the thing so we can control and if we get external help it will help lever it other way up. But to your point I would say this all three of those matter a lot and in my role that focus on the shareholder is paramount to my day to day job and its where my focus and attention is on a regular basis right now.
Operator: And we’ll take the next question from Jim Mitchell with Buckingham Research.
Jim Mitchell - Buckingham Research: Good afternoon. Most of my questions have been asked, but one that we haven’t discussed is can you talk about the new business wins in the pipeline, how you are seeing that develop and if there’s been any kind of improvement or is it still strong? Just some color would be great whether it’s across wealth management or institutional?
Biff Bowman: Sure. So I can say really across all of our businesses across all of our geographies and across all of our products it was a very successful third quarter. I’ll start with the C&IS business if I could. I think they had one of the if not their very best quarters; I'm looking at that if I'm allowed to say that, but I think that they had one of their very best quarters that we have seen from a new business and probably as important is that is the strength of the pipeline behind it. As you might imagine that pipeline is really a cross product it’s not just our global fund services business servicing asset managers. Its broad based with sovereign wealth fund, its broad based with foundations endowments, healthcare, corporate institution and pensions and its very broad based across geographies probably about as diversified as I’ve seen it from a geographical perspective. So I think that's the strength. Similarly in the wealth management space another strong new business quarter I think that that’s borne out in the fees, in the fee growth that you’ve seen particular success in our west region this year. I know we published in our regional reports. They continue to have good momentum but it was really good across all geographies. So we feel really pretty positive on the new business momentum and I would highlight here perhaps if I could briefly with the leadership changes that we've just gone through now that momentum is being amped up by each of the new business unit presidents and they’re as whether out meeting with their clients and helping with the pipeline and developing the pipeline I believe. Steve Fradkin is out today in at North East helping them continue to build the product line there.
Jim Mitchell - Buckingham Research: Well just maybe a follow-up on the institutional side. It seems like you have had a bit of an uptick in the growth rate just trying to get it’s pretty competitive. What do you think has been driving your uptick in the pipeline? And I think when we look at some of your peers it has been (technical difficulty)
Biff Bowman: I would answer that by saying I think there is a couple of key factors I think one is we've got some technological advantage particularly in the global fund services space. We got some technological advantage that we’re trying to lever and use at this point and as I think I described earlier its leverageable beyond just asset managers; it resonates with anybody who has large alternative asset portfolios in their mix. So I think that that is one of the prime factors that we have. And I just think our product quality continues to be strong and its being well received in the market. So I think but there is some technological strength right now for us particularly in the space I described around the Northern Trust Hedge Fund Services, etc. The other thing is we have some geographies where we've had some success we've had tremendous growth rate in Australia. So our product and reputation and our quality there I think is allowing us to pick up some meaningful market share it’s not just there but it’s one example of a meaningful market move for us.
Operator: And the final question today is from Jeffrey Elliott with Autonomous Research.
Jeffrey Elliott – Autonomous Research: Hello there. On the money market fee waivers, how do you think about the trajectory of recapturing those, if rates eventually start to move up?
Biff Bowman: Yes. Thanks Jeffery. So I think we have said, (inaudible) I go up with -- I think we've said that as a 50 basis point move, all things being equal, that we would recapture a meaningful portion if not all of those fee waivers. But I want to put a little bit more color to that. That assumes that we are in the exact same competitive environment and that coming out of this low of an interest rate environment over this length of period of time, I would be hesitant to say that I know what the competitive environment for that will look like. So our partners in Northern Trust Asset Management are clearly looking on a regular basis to understand what the impacts will need to be on what they charge on those funds over time and they will consistently look at that end. They may look at different fee structures to be competitive coming out of a very, very low rate environment. That could have an impact on our fee waivers. And as we get more color on that over time, we'll try to give that color to you. But at this point in time, we do think there probably will be some competitive pressures to be candid, but we still think we should cover meaningful portion of those fees with a 50 basis point rise.
Jeffrey Elliott – Autonomous Research: When you talk about competitive pressures what you’re getting out there is any chance of the competition there will go into keep the fee waiver in place little bit longer (inaudible) slowly in order to try to capture more volume, is that (inaudible) up?
Biff Bowman: Yes. I think what we're -- like I said, coming out of a low and long environment and I don't know how low and long it will remain. But I think everyone has gotten used to very low fees or waived fees in their funds and we're just not sure how the markets will react from pricing their own funds. That being said, you also have money market reform in place, which could help firms think about their pricing on those models. So I think there is a whole confluence of events quite frankly that could have the revisitation of pricing in that space. And the last thing you said, which I think is also right is, there could be pricing in the marketplace to gather assets. People could want to go because you may have certain firms and competitors that decide not to be in the space after reform and others may aggressively price whereas to gather assets in the cash. So the confluence of those three I think could actually lead to the need to look at the pricing in the funds for all competitors. But I'm not sure how that will play out to be candid.
Operator: This concludes today's question and answer session. Ms. Fleming, at this time, I will turn the conference back to you for any additional or closing remarks.
Bev Fleming: Thank you, Eric, and thank you to everybody who joined us today. We look forward to speaking with you in January when we release our fourth quarter and full-year results. If you have any follow-up questions, please don't hesitate calling. Thank you so much. Have a good day.
Biff Bowman: Thanks.